Operator: Good day, ladies and gentlemen, and welcome to the Ironwood Pharmaceuticals First Quarter 2013 Investor Update Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to Meredith Kaya. Ma'am you may begin.
Meredith Kaya: Good morning, and thank you for joining us for our first quarter 2013 investor update. Joining me for today's call are Michael Higgins, our Chief Operating Officer; Tom McCourt, our Chief Commercial Officer; and Mark Currie, our Chief Scientific Officer. We also have Peter Hecht, our Chief Executive Officer, available for the question-and-answer portion of the call. By now you should have a copy of our press release, which crossed the wire earlier this morning. If you need a copy of the press release, you can go to our website, www.ironwoodpharma.com, to find an electronic copy. During the call, our speakers will be referring to slides available via the webcast. For those of you dialing in, it may be helpful for you to go to our website to access webcast live, if you haven't done so already. Some of the information discussed in today's call is based on information as of today, Tuesday, April 23, 2013, and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. We do not undertake any obligation to update any forward-looking statements made during this call or contained in the accompanying slides as a result of new information, future events or otherwise. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure on our press release and on the current slide with the heading, Safe Harbor Statement, as well as the risks under the heading Risk Factors, and our Annual Report on Form 10-K for the year ended December 31, 2012, and any of our future SEC filings. I would now like to turn the call over to Michael.
Michael J. Higgins: Thanks, Meredith, and thanks, everyone, on the call for joining us this morning. Before we get started on our Q1 discussion, we'd like to take a moment to acknowledge the events of the past week and express our heartfelt condolences to the victims of the Boston Marathon bombing and its aftermath, as well as their families. We're awed by the selfless efforts of those who risk their lives to protect our community, including the first responders, law enforcement, as well as the medical professionals who provided outstanding care on the Boston area hospitals. We recognized it will take some time for our community to heal and appreciate the expressions of empathy and concern that have been coming in from all parts, including so many of you on the call today. Thanks so much for your concern. So now onto the business of the call. It's been a transformative quarter for us here at Ironwood. We and Forest launched LINZESS last December and we're off to a great start. Tom will talk about it in more detail shortly. Additionally, our partner, Almirall, is preparing to launch Constella in the U.K. and Germany very soon. We've continued to make progress across other firms, including our efforts to strengthen the clinical profile of linaclotide and expand its utility and additional patient populations and indications, as well as our efforts to bring linaclotide to patients worldwide. Beyond linaclotide, our pipeline continues to progress. Mark will touch on it later on the call, and I'll also provide a more in-depth summary of our financials shortly. But first, let me turn it over to Tom to provide some updates on our commercial efforts with LINZESS.
Thomas A. McCourt: Thanks, Michael. Well, it's been a busy and exciting few months as we and our partner, Forest, begin to introduce LINZESS to the U.S. marketplace. While still early and there's an awful lot to do, we're quite encouraged by the launch execution to date, as well as the initial patient and physician response, reinforcing to us the substantial commercial opportunities for LINZESS. Our sales and marketing teams, a fully integrated effort between ourselves and Forest, began promoting LINZESS in mid-December, and we've been encouraged by the success the team has had in their access and communication with both gastroenterologists and primary care physicians, with a particular focus initially on Gastroenterology. What we're hearing from our sales professionals, anecdotally, is that physicians are seeing a lot of suffering, dissatisfied adult IBS-C and chronic constipation patients. And that early experience on LINZESS has been favorable among both physicians, as well as with patients. This feedback is in line with the prescription data, which most of you have seen, signifying a strong initial uptick of LINZESS. The rate of adoption by both gastroenterologists and primary care physician appeared solid. And we're just beginning to engage and educate patients so they can more effectively communicate their symptoms and treatment history to their physicians. We're also pleased with some of the early positive decisions from a number of key national payers. We are actively moving forward to strengthen the clinical profile of LINZESS, and expand its clinical utility through additional approved indications and populations. And we're also looking forward to launch Constella in Europe with our partner, Almirall, expanding our global access to appropriate patients worldwide. As I mentioned earlier, the progress we've made to date is encouraging, but it's still very early in the launch. We and Forest are completely focused on maximizing the opportunity for LINZESS. And it is critical for us to learn as much as we can in these early days and apply these learnings to our continued launch execution. Beginning with our efforts to engage the broad physician base, we've been focused on both gastroenterologist and primary care physicians so they can understand the profile of LINZESS and can better identify all appropriate patients to be treated with LINZESS. Through our partnership with Forest, we have over 1,400 sales professionals who are targeting more than 80,000 physician, with the initial focus on the GI community and early adopting, high-volume primary care physicians, who are likely to establish the trend for future growth. Based on early feedback, physicians are not only seeing a lot of IBS-C and chronic constipation patients in need, they appear to be quite enthusiastic about LINZESS as the new treatment option for their dissatisfied patients, which is consistent with previous market research. One of our key launch objectives is to enable physicians and patients to quickly observe the benefit LINZESS can offer, so we implemented an early experience program. The combined sales effort has just completed distributing over 300,000, 30-day early experience kits to over 30,000 gastroenterologists and high-prescribing primary care physicians. Each of these physicians received 5 kits of all strengths to treat both adults with IBS-C and chronic constipation. The 30-day unit provide patients and physicians with an opportunity to critically evaluate the clinical benefits of LINZESS. We believe there will be a positive experience, and this experience will support continued treatment of LINZESS for these patients and thus, increase physician adoption. Additionally, we continue to provide all physicians with traditional 4-day samples of LINZESS to initiate and evaluate treatment response. Physicians appeared to be eagerly requesting both samples and early experience kits, which we believe is another key indicator of the demand for LINZESS. We are also launching physician peer-to-peer education program that involve trained gastroenterologists to speak to local gastroenterologists and primary care physicians to share patient, disease and LINZESS specific information that can enable these physicians to appropriately use LINZESS. We plan to conduct 10,000 programs over the next 12 months. In the initial months of launch, our sales professionals have focused their efforts on the highest potential influential gastroenterologists and high prescribing primary care physicians, as they are the key drivers of uptick out of the gate. We have been encouraged by the steady growth of adoption with LINZESS among these physicians, which tells us that both gastroenterologists and primary care physicians are now choosing LINZESS for many of their patients. Slide 8 illustrates the rate of adoption by top decile, high-prescribing gastroenterologists and primary care physicians. We predicted that these physicians would drive the initial uptick of LINZESS into the marketplace. And as you can see by this slide, over the first 4 months of launch, over 50% of top decile gastroenterologists and almost 20% of top decile primary care physicians have already prescribed LINZESS. There's also been steady growth in the lower decile physician. However, there are still thousands of physicians in these lower decile to represent a significant future opportunity. We will continue to educate and engage currently prescribing physicians, aiding them to identify all appropriate patients, as well as those physicians who are likely to be future prescribers of LINZESS, particularly in the primary care community. The peer-to-peer programs will enable gastroenterologists to engage and educate the referring primary care physician base on the appropriate use of LINZESS and share their personal experience that they've gained to date with LINZESS. As we've described before, there is currently about 44,000 Americans suffering from IBS-C and chronic constipation. Of those, about 15 million patients are actively seeking care, and about 10 million patients are actively seeking care, treated and not fully satisfied. These patients are likely looking for new treatments and are in their doctor's office on an average of 3 to 4x a year complaining of their symptoms. These 10 million adult patients consume over 30 million laxative units annually, whether a prescription laxative or an OTC laxative, representing a $6 billion opportunity for LINZESS. And keep in mind, there's an additional 15 million individuals who are self-treating and not satisfied, or they have stopped seeking care out of frustration. So all of these patients are also strong candidates for LINZESS. Not surprising, as you can see on Slide 10, the majority of LINZESS growth is coming from adult patients, who are either new patients seeking care, who are previously self-treated with OTC laxative, or are actively managed by their physicians and treated with OTC laxative. We're also seeing approximately 26% of patients being converted to LINZESS from other prescription treatment, primarily prescription laxative, and about 14% of patients having LINZESS added to other additional prescription therapies. These initial data are very encouraging because it shows that we are already seeking -- we're already seeing significant growth in the size of the prescription market, driven by either new patients seeking care or a conversion of OTCs to LINZESS. All this has been driving steady prescription growth over the past few months. As of the week ending April 12, almost 70,000 prescriptions for LINZESS were filled. And the volume of both weekly new prescriptions, illustrated in the graph by the dotted green line, and total prescriptions illustrated by blue line, have seen steady growth. There is also steady growth in the number of prescription refills, depicted by the solid green line. We'll be watching the data carefully over the next several months to understand patient persistence and annual days of therapy. Moving on to our patient education efforts. Ironwood and Forest are focused on educating patients to more effectively communicate their symptoms and treatment history to their physicians. These patients are high users of the Internet, seeking help and information online. So we've just began to launch a robust digital platform to connect with patients, and the early experience has been very strong. Approximately 1 million potential LINZESS patients have engaged and responded to an e-mail, an e-mail marketing campaign educating them on LINZESS. And hundreds of thousands have visited the LINZESS website after engagement in a banner advertisement. Importantly, there appears to be a high willingness on the part of physicians to prescribe LINZESS, as 80% to 90% of physicians report they will honor a patient request for a prescription. And we're encouraged to hear the feedback from physicians that patients are already beginning to request for LINZESS by name. In previous calls, we have identified the importance of payer access and reimbursement as the potential driver, or more likely, a barrier for primary care launches. It's been our objective to combine the strong clinical profile of LINZESS with the pricing contracting strategy that maximizes payer acceptance and ensures broad access to LINZESS for appropriate patients. Negotiation with payers are well underway. Initially, the majority of managed care payers are providing LINZESS a Tier-3 coverage, with either limited or no restrictions. We've already heard from a number of payers, in fact, with over 80 national and regional plans choosing to place LINZESS on formulary. To date, approximately 75% of patients and commercial insurance can access LINZESS with no restriction. Meaning, that they can fill their prescription without having to obtain a prior authorization or try in previous therapies. In addition, approximately 50% of patients with commercial insurance covered by national formulary to have access to LINZESS at Tier 2 co-pay, which is typically about $30 a month. Some of the payers who have already made formulary decision, include a few of the large -- including a few of the largest Pharmacy Benefit Management groups or PBM, such as ESI and Medco, as well as Catamaran. It's important to keep in mind that these PBMs put LINZESS on Tier 2 in an unrestricted status on the national formularies, which provide guidance to regional payers, who ultimately determine what formulary tier to place LINZESS. We are also thrilled to learn that Kaiser recently adopted LINZESS under Tier 2 unrestricted coverage. We and Forest will continue to work with payers as we seek to obtain broad Tier 2 coverage over time. For those patients not in Tier 2 coverage, we have implemented a LINZESS instant savings plan, an automated co-pay assistance program in early February, allowing commercial patients to fill their LINZESS prescriptions at a co-pay as low as $30 out-of-the-pocket, similar to a Tier 2 co-pay. This program includes a network of approximately 41,000 pharmacies, making it available to more than 90% of commercial patients. It is not only convenient and beneficial for patients, but also helpful for physicians as they have become increasingly more sensitive to the costs of prescription to their patients. We will continue to work towards ensuring broad access and reimbursement for LINZESS to reduce the financial burden on patients. We and Forest have made a lot of progress in executing the LINZESS commercial strategy over the past several months. We have considerable work to do to continue to accelerate the growth in the marketplace. Early adoption by physicians is encouraging, but we will continue to focus on expanding the prescriber base more broadly. We also will continue to work to improve communications between physicians and patients, educating physicians to identify the unmet medical needs of patients, and educating and enabling patients to more effectively communicate those needs. We will continue to work closely with payers to secure broad Tier 2 access with little to no restriction to patients. And lastly, we are working to strengthen the profile of LINZESS in its indicated population, as well as expanding the clinical utility of LINZESS to other approved populations and indications. It's important to keep in mind that we're just in the initial stages of building our linaclotide franchise over the long-term. As we expect, the patent protection to last through 2026, with patent term extension. There are a number of critical success factors to understand the leverage throughout the stages of life cycle management and in order to optimize the growth of success. We have previously talked about Prilosec and Zelnorm as reasonable, but not perfect analogs. These products had varying levels of success, but provide good insights around building the market-leading brand in the GI category. As we examine the growth accelerators, to no one's surprise, it starts with physician adoption. And the willingness to continue to prescribe the drug for broader patients, followed by physician's ability to identify this worldwide range of patients and appropriate patients. Patient adherence or the desire on the part of physician to stay on treatment is critical, as it can greatly accelerate growth over time. And the ability to attract patients to the product is a critical market builder, particularly in highly symptomatic diseases. Finally, leveraging the opportunity to build upon the key benefits of the drug and expanding utility to other approved indications or patient populations is the last critical element to accelerate our growth. The brand introduction phase tend to last the first 12 to 18 months of the product life cycle. To be successful in the introduction phase, the product must have a compelling clinical profile to grab the attention of the physician, who then needs to effectively be educated on the appropriate use of the product. Ideally, there exists an easily identified patient population with a clear unmet need that the patient can effectively serve. Creating urgency on the part of the physician to initially choose the product and gain a product positive early experience. The positive early experience is likely to lead to broader use in the appropriate patient population over time. Initial access and reimbursement to the brand should be a minimal barrier to physicians and patients to use the product. This has become a more important obstacle, as we've seen access to be more problematic than we saw with Prilosec and Zelnorm. Currently, we are making very strong progress on all fronts. As we move forward, it's critical to understand that while product education and promotion are important to introduce the product to customers, real world experience rules. To maintain an accelerated growth, the product must clearly demonstrate the benefit and value that will, in turn, bolster physician confidence, leading to broader use for their appropriate patients. And patients need to experience and recognize benefit to them, to continue taking the product. This will be particularly powerful in a highly symptomatic disorders such as GERD, IBS-C and chronic constipation, as observed with Prilosec for GERD patients, which benefited greatly from strong patient adherence. Strong demand will help to improve and maintain good payer access and reimbursement. And an effective product in a highly symptomatic disorder, such as IBS and chronic constipation, can attract new patients into the physician's office, who will request effective therapy and even the specific brand, building the category over time. We will continue to strengthen LINZESS' profile by leveraging existing and new data that will be generated from additional studies to further document improvement in additional abdominal symptoms and to better understand the potential tolerability and safety questions. There also appears to be a significant opportunity to manage co-morbid disorders with fixed combination products. Over 20 million adult patients who suffer from GERD, also suffer from either IBS-C or chronic constipation. Patients suffering from this co-morbid conditions appear to suffer from more frequent abdominal pain, constipation and heartburn symptoms, than patients suffering from individual disorders. A fixed combination of LINZESS, combined with the PPI, may provide these patients with an effective and more convenient treatment option to manage their symptoms. Our quest is to build a category leader and dramatically grow the category. To achieve a market leadership position, a product must be viewed as the leader for a specific disorder and become synonymous with goals of therapy, which establishes, builds and leads the category. Ideally, the product enhancement of science in terms of the understanding of the clinical benefit, but also its pharmacology deepens the understanding of the underlying pathology, paving the way the future of therapies. There are number of large commercial opportunities to expand this clinical utility for LINZESS. We are currently evaluating other indications including opioid-induced constipation, other forms of IBS, such as IBS mix or even non-constipating IBS. And finally, functional dyspepsia. We are also working with the FDA to determine whether to pursue clinical development in pediatric population. If we are successful on our efforts, these additional indications could serve millions and millions of additional patients. This greater understanding of the disease, expansion of the clinical utility and follow-up therapies enables the product line and this product to define and raise the standard of care beyond the reach of potential competitors that might emerge over time. We all recognize this is an ambitious goal, but we are optimistic that LINZESS can meet this goal, given the large number of patients suffering from frequent and bothersome symptoms, and who are actively looking for relief, combined with a strong clinical profile that can relieve many of their symptoms and satisfy their needs. I will now turn it over to Mark, who will provide a brief update on the progress with our GC-C franchise. Mark?
Mark G. Currie: Thanks, Tom, and good morning to all of you on the call. As Tom described, we see a great opportunity to particularly expand the therapeutic applications of linaclotide and our GC-C agonist to the patient populations that continue to suffer from functional GI disorder. At this point, I'd like to update you on our progress and plan to strengthen the existing clinical profile of linaclotide for IBS-C and chronic constipation, raising the bar in terms of efficacy and tolerability parameters. We continue to invest in the underpinning science and clinical profile of linaclotide and our second generation GC-C agonist, IW-9179. Ironwood is the leader in this area, and we intend to bring forward new GC-C agonists, formulation, therapeutic utilities and fix those combinations that could provide a treatment for an even broader number of patients suffering from the GI -- from the functional GI disorder. As a reminder, we initiated a Phase IIIb clinical trial last year to further evaluate the effective LINZESS on abdominal symptoms in patients with CIC. And as mentioned in this morning's press release, we completed enrollment earlier this year and expect to report data from the trial in the second half of 2013. We also expect to initiate additional clinical studies over the next 12 months to better understand the potential of our GC-C agonist and additional GI disorders. Potential opportunities include opioid-induced constipation, other forms of IBS and functional dyspepsia. In addition, as Tom mentioned, there are millions of patients who suffer from GERD and IBS-C or CIC, who may benefit from a proton pump inhibitor, linaclotide fixed combination product. To this end, we are exploring and closely examining this possibility, as well as the potential of other combinations including the combination of an opioid with linaclotide. With our collaborators, we continue to make exciting progress with respect to gaining a better understanding of the mechanism of action of linaclotide to inhibit visceral hypersensitivity and on pain-sensing nerve in preclinical model. We believe this work will help us further define the potential clinical utility of our GC-C agonist on states of functional visceral pain. Some of the advancements and better understanding the mechanism of acting of linaclotide on intestinal pain will be described in an oral presentation at the upcoming Digestive Disease Week in May, along with a description of the relationship of changes in the GC-C system and IBS-C patients. Additionally, we will provide other insight into the clinical data from our Phase III program at the Digestive Disease Week meeting. Finally, we believe this greater understanding of the mechanism of action, disease state and the further characterization of the clinical effects of linaclotide may enable follow-on formulations in products to further advance patient care. With that, I would now like to turn this call back over to Michael Higgins.
Michael J. Higgins: Thanks, Mark. Before we get started -- get into the details around our financials, I just wanted to provide a quick update on our partnerships with Almirall, Astellas and AstraZeneca, and the continued progress we've made with our global partners to bring linaclotide to the millions of suffering patients around the world. For some time, we have been working with our partner, Almirall, to optimize Constella in Europe. And we are excited to see the Constella launches in the U.K. and Germany over the next few months. Constella is the only product approved in Europe for the treatment of adults with IBS-C and is described in European label as having visceral analgesic and secretory activities, providing suffering patients in Europe with a new treatment option that can prove the many symptoms associated with IBS-C, particularly abdominal pain and constipation. As you know, the environment in Europe, especially for the pharmaceutical sector is tough right now, as challenges in obtaining adequate pricing and reimbursements of pharmaceutical products in Europe have grown recently, it has become clear to both us and to Almirall that revising certain aspects of our current partnership may benefit the potential for renovation and exchange for additional new sales-based incentives and more favorable royalty structure at certain sales thresholds. We'll update you further at the appropriate time as these discussions continue. We also amended -- recently amended our agreement with Astellas as a result of their strategic decision to focus on their GI franchise in Japan. As such, we have regained our rights for linaclotide at no additional cost to us and the other territories where it had been partnered with Astellas, Indonesia, Korea, the Philippines, Taiwan and Thailand. In China, we and AstraZeneca received approval of the clinical trial agreement, the first step in clinical development in China. We expect to initiate a Phase III trial in China later this year, leading to a potential top line data in the first half of 2015 and approval on 2016. Our partner, Astellas, continues to advance linaclotide in Phase II clinical trial in Japan, but data is expected in the second half of this year. Now turning to our financial results for the first quarter of 2013. I'll begin with Ironwood and then follow up with some financials related to our cost sharing arrangement with Forest around the commercialization of LINZESS in the U.S. Starting with our cash position, at March 31, 2013, we had approximately $242 million in cash and equivalents. During the quarter, we used approximately $93 million of net cash for operations, which includes $13 million for purchases of API capitalizes inventory. Total Ironwood revenue this quarter was approximately $3.3 million compared with $12.2 million during the same quarter of last year. Included in our revenue this quarter were sales of API's Almirall and Astellas, which I'll talk more about in a moment, and a continued amortization of deferred revenue associated with Astellas license agreement. The decrease in collaborative arrangements revenue, compared with the first quarter of 2012, is primarily due to the completion of amortization of deferred revenue associated with our collaborations with Forest and Almirall. The decrease in collaborative arrangements revenue compared with last quarter was primarily due to the $25 million upfront payment associated with our collaboration with AstraZeneca, partially offset by increased API sales this past quarter. Cost of revenue for Ironwood in the first quarter of 2013 was $1.2 million. As a reminder, Ironwood purchases linaclotide APL -- API and sells it to both Almirall and Astellas at agreed-upon fixed transfer price. As a result, Ironwood's cost of revenue consists of the cost to produce linaclotide API and is recognized in the quarter in which we shipped the linaclotide API to those partners. We will receive royalties from both Almirall and Astellas based on their linaclotide sales volume in a given corner -- quarter, minus the transfer price paid to the API included in the product actually sold during that quarter. Moving to expenses. Our R&D expenses for the first quarter of 2013 were approximately $33.5 million compared with $29.5 million in the first quarter of 2012. Included in our R&D expenses for the quarter, are costs associated with the continued development of our non-linaclotide pipeline, such as the ongoing Phase II clinical trial for IW-9179 and the ongoing Phase I clinical trial for IW-2143, along with other non-linaclotide development programs we continue to advance. In 2013, we expect to infect -- invest approximately $60 million to $75 million in non-linaclotide R&D similar to our investment in 2012. The total R&D expense in our P&L includes non-linaclotide R&D, as I mentioned, as well as our continuing investments in linaclotide-related developments. As an example, we continue to invest in creating a high quality and nimble supply chain with appropriate redundancy and critical modes. We also continue to seek ways to strengthen the current label of LINZESS in the U.S. and explore the use of linaclotide and other indications and patient populations. We expect to initiate additional clinical trials in the U.S. involving linaclotide in the next 12 months. As a reminder, we share development costs for LINZESS equally with Forest. Lastly, included in the $33.5 million expense is approximately $2.2 million in stock-based compensation. The increase in R&D expense, compared to last year, is mainly due to increased investments in linaclotide development, including our ongoing Phase IIIb clinical trial, increased headcount to support these activities and additional operating and manufacturing costs. Next, with respect to SG&A expenses for the first quarter of 2013, they were $33.3 million compared to -- compared with $16.3 million for the first quarter of 2012. Our SG&A expenses during the recent quarter included selling and marketing expenses related to the launch of LINZESS in the U.S., including the cost of our 161 person sales force. Certain selling and marketing expenses are included in the calculation of net profits or net losses for LINZESS associated with our collaboration with Forest. In addition, we incurred approximately $2 million in stock-based compensation for the quarter as part of our SG&A. The increase in SG&A, compared to last year, is primarily a result of an increase in headcount, mainly the addition of our sales force, as well as increased infrastructure largely to support the commercial launch in sales force for LINZESS in the U.S. In the first quarter of 2013, we recorded approximately $25.1 million in collaboration expense. As a reminder, we and Forest share equally in the U.S. LINZESS net profit or loss from the sale of the LINZESS in the U.S. We present the settlement payments required to adjust our income statement to 50% of the net profit or loss as either collaborative revenue or collaboration expense, depending on whether the settlement results in a payable or receivable from Forest. During the quarter, the adjustment was $25.4 million payable to Forest and this was recorded as collaboration expense on our P&L. These settlement payments will fluctuate based on the sales of LINZESS, as well as the ratio of selling and marketing expenses, initially incurred by us and Forest on our respective P&Ls. Interest expense for the quarter was approximately $5.1 million. This is primarily due to the $175 million debt offering we completed in January, carrying an 11% annual interest rate. Now in order to try and clarify some of this, let me just point you to Slide 28. Slide 28 provides clarity around how we calculate the settlement payment due to either Forest or Ironwood. In regards to the specific accounting, as you recall from the webinar we hosted last November, Forest will book all LINZESS product revenues and associated cost of goods sold and both companies will incur SG&A expenses on their respective P&Ls. LINZESS revenues and expenses for both companies will then be combined on a quarterly basis, and the resulting pre-tax profit or loss will be shared equally between the 2 companies by way of these settlement payments. In the first quarter of 2013, Forest recorded $4.5 million in net sales of LINZESS in the U.S. To date, Forest has recorded approximately $24 million in net sales of LINZESS. Forest records LINZESS revenue on an ex-factory basis, essentially when the product leaves the warehouse. Excuse me -- as Tom mentioned earlier, as of the weekend at April 12, there have been more than 70,000 prescriptions of LINZESS filled since launch. Total costs and expenses included in the partnership, including cost of goods sold, selling and marketing expenses, totaled $71 million, resulting in a total net loss for the collaboration of $66.5 million. Ironwood's 50% portion of the net loss is approximately $33 million. However, we incurred approximately $8.5 million in selling and marketing in our P&L, therefore, we owed settlement payment of $24.7 million to Forest to true-up the collaboration. As previously guided on our last investor update, we continue to expect the total investment in selling and marketing for LINZESS to be in the range of $250 million to $300 million in 2013. Thank you, and with that, I'll turn it back -- the call back over to the operator and begin the Q&A portion of the call.
Operator: [Operator Instructions] Our first question is from Mario Corso of Mizuho USA.
Mario Vincent Corso - Mizuho Securities USA Inc., Research Division: Congratulations on the launch thus far. A couple of things I wanted asked about, number one, all the detail are great, but just for some context or perspective, I mean, is it fair to think about LINZESS thus far -- it seems to me the launch thus far pretty much couldn't have gone any better when I hear about the managed care status, look at the Rx numbers. And do you also think it's fair to think about so far very minimal contributions from the primary care area, as well as the direct-to-consumer marketing so that seems to be the upside of the next lag. And then finally, in terms of the quarter and the revenue that Forest booked, I know that there were stocking last quarter. I mean, I calculate demand in the quarter at the kind of $10 million, $11 million. Do you think that's a fair way to think about where the demand was in the quarter?
Michael J. Higgins: So Mario, thanks for the questions. So I think, we'll get them all. Tom's going to lead off with just kind of the general feeling about the launch. And then I can answer the stocking question.
Thomas A. McCourt: Thanks, Mario. I think we're absolutely delighted with the progress that we've made. As you know, we primarily focused initially on getting the GI community out of the gate fast as we know they'll have significant impact on the primary care physician prescriber base, which is also showing steady growth. But keep in mind, the primary kind of promotional lever that we pulled so far is just the sales force. So we've only just begun the broad educational efforts across the medical community, as well as the consumer efforts that, obviously, are going to continue to drive demand. I think the other piece is while we really had really strong early wins in the payer community, it's still early. And those wins and those changes in co-pay are just being implemented. So I think, we're absolutely delighted with what we've seen so far from both the medical community, the response that we've seen online with the patient community and the responsiveness that we've seen with the payer based on the value of proposition, I think, we've put forward. So I think, everything is on track. I think, we're encouraged by the volume in ramp-up in this primary care arena. And I think, we look forward to our ongoing execution and learning and growth. With that, I'll turn it over to Michael to comment.
Michael J. Higgins: Yes, so let me kind of broaden your question, Mario. On the demand side of the equation, you're essentially trying to get an underlying view for kind of the fundamentals, set aside the revenue that's been booked, which I mentioned on the call and most of you know well. But the revenue that Forest books is booked on an ex-factory basis, so you're absolutely right, it's critical to get an understanding over time about how that is moved in and out of the wholesalers. And I think the numbers that we provided with you today, I think, give us some guidance. I won't comment on your specific demand number, but I would say, and as Tom commented earlier, and I repeated it, the total number of scripts since launch is in the range of 70,000. And I suspect the way you did your calculation took that into account, estimated price and did some calculations there, and I think that's an appropriate way to look at it, that's how we think about the fundamentals and the underlying driver to the business. Overtime, these issues around inventory will kind of normalize themselves as we get closer. The idea is to keep those inventories, as well as possible, generally, in the 2- to 3-week time frame. But in a launch period, it's quite difficult to manage that exactly. But I think you think that I believe you're thinking about it correctly. And I think the demand -- underlying demand is really the way to look at that. And the way we think about it is based on those prescriptions that IMS [ph] reports on a regular basis. That does get the heart of your question?
Operator: Our next question is from Matthew Harrison of UBS.
Matthew Harrison - UBS Investment Bank, Research Division: Two questions for you. First, can you help us think through your SG&A spending in terms of you have reps that are booked in there? And then it sounds like you're also booking, obviously, a percentage of the Forest A&P spend of your combined A&P spend. Should we expect that A&P spend -- it sounds like what you're saying to accelerate through the year or is that at a level that makes sense right now? And then, separately, it sounds like you're sort of unwilling to tell us about what the destocking number might have been in the quarter. Maybe you could just give us an update on what you think the gross to net pricing might be.
Michael J. Higgins: Thanks, Matthew. Let me take the -- let me see if I can handle both. So there are 2 questions related to kind of essentially selling and promotion expense generally, and then the -- again, back to the demand side of the equation and the stocking. I think everyone is kind of wrestling with that and trying to understand it. So let me take on both of those and then you could follow up, clarify, if I don't hit exactly what you're looking for. First, with regard to the selling and promotional expense. You have it right in terms of both companies are making investments. I think, in this instance, the right way to think about it is total cost invested. And while they'll be fluctuations over the period of time, we feel like we've launched with a very robust investment in selling and promotion, and we've talked upfront about what we expect to spend in total in the year. So we're feeling like we're starting with a very robust investment and we've given a range of expenditures of $250 million to $300 million over the course of the year. We think that what we spent in the first quarter is right in line with what we would expect to see over the course of the year. I can comment further if you like, but I think that covers the first part of the question. With regard to the second, it's not so much an unwillingness to kind of answer your question. We don't -- that level of detail from the inventory and how that flows through the wholesalers is something that it's tough to drill down to that level of detail. I think for us, what I've given you, and for those of you who cover for us, they are quite good at managing the inventory over the long term. They really want to get it down to minimal level. They talk about carrying 2 to 3 weeks. But in this very early stages of launch, it's hard to kind of maintain that -- those levels of inventories, so the wholesalers drew their best estimates of what's required. But I'll go back to the comment I made to Mario, and that is the way we look at it right now and the way we think about it is take that, the underlying demand, the total prescription, and you can calculate there on the basis of that underlying demand kind of where you might come out in terms of what the basic revenue that's been derived by end users. With regard to the gross-to-net calculation. Again, early in the launch, it's kind of difficult the weigh that in. What we've talked about over the past year or more is that, ultimately, we expect to get in the range of 20% to 25%, gross to net. But again, early days, it's hard to make those exact calculations. So again, to -- main point is that it's very hard these early days to exactly calculate these ones. And that's why we evaluate the launch of the business focused on the underlying demand --
Matthew Harrison - UBS Investment Bank, Research Division: Got it. Understood, that's helpful. I guess, just a follow up on SG&A. I guess, what I was really to trying to get at is the level of SG&A on your P&L. Does that seem to be a level that we should expect going forward? Or are there components about how the spend that's going to be allocated to users as far as it fluctuates dramatically and may increase or decrease that number?
Michael J. Higgins: Yes, okay. So thanks for the clarification, I understand it now. So I'll address the -- only half the equation. On our P&L, really, the -- there's 2 elements you should be aware of. One of them, I can give you comfort is kind of the investment in the sales force is one where we have the 161 reps there in place. They're kind of there cranking away and that cost will always show up in our -- in the SG&A line. The piece that's hard -- the question that you asked is harder than it may seem, because what happens is that the way Tom and Bill and the combined teams' work is that they'll allocate the other types of commercial investment. They'll allocate that on the basis of the company that's best prepared or readily available or has the kind of experience, of dealing, in that area. So specific expenditure, 1 quarter could come through, an initiative could come through, Ironwood and then they -- 2 quarters later, there may be another initiative that makes more sense to go through Forest. In the end, we -- all those get trued up in the settlement payment, but it's hard to really predict how those ones [ph] will flow. We try and do what -- I think, the sales force is clearly, the majority of that expense is going to hit the Forest P&L, and we'll have a small hit on ours -- our P&L on a regular basis. So it's a very good question, but it's hard to answer how that will flow over the course of the year.
Operator: Our next question is from Geoff Meacham of JPMorgan.
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: I want to get your early experience and a couple of things. One, the refill rate overtime, what's your estimate of the approximation of refill rate? And then, the second part of it is, does your early data tell you anything about the rate of diarrhea that's similar to the Phase III experience? Is that -- has that led to any discontinuations that are different than data that we've seen? And then I have one follow-up.
Thomas A. McCourt: Thanks, Geoff, this is Tom. I think as far as the overall refill rate, it's pretty early to be able to determine what that's looking like. I think we are seeing very good separation between TRxs and the new Rxs, and we're seeing a pretty strong refill rate to-date. However, it's really, really early. So we've really only have a window of opportunity where we've only had a handful of refills with a relatively small segment of the population. So I think, we'll have to wait and see really for the next quarter or 2 to really get a handle on what we think annual days with therapy might look like. The other piece with regard to diarrhea. We're not hearing much on the diarrhea side from physicians. It's happening from time to time. And I think, basically, what we're seeing is something consistent to what we saw in the clinical trials where when it does occur it tends to be transient, it tends to be mild to moderate. But we're not hearing from physicians or patients for that matter that it's really driving high level of discontinuation. So we don't think it's going to dramatically affect the annual days of therapy. But it's early days it's something we're watching very, very closely to understand and help physicians and patients better manage.
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: Got you. And then I guess, not to belabor a point on the inventory, but Forest had said last quarter, the $19.2 million, was all inventory stocking. And so I'm just curious going forward if there -- if you guys expect to update this, at all, inventory levels or on a dollar basis. And then what would you expect to be a reasonable level of inventory going forward on a, let's say, on a weekly or monthly basis [ph] the number.
Michael J. Higgins: So Geoff, I think, the best way to answer it is, is really just picking up on your last -- the last part of your question. I think on a go-forward basis, as we move forward, and we get kind of -- we get a better understanding of demand, the wholesalers get a better understanding of it, the way contracts are structured, is we will end up getting down to kind of a relatively small number of weeks. Essentially, it's a forecast demand kind of structures. They look forward and they estimate what they need, and they'll bring it in. So the expectation is, if you look back at Forest history and how they do it, typically, once they get a better feel for it, 2- to 3-week range is what one would expect once you get to a level where it's more predictable. So that's what I -- at this stage, that's what I would suggest using as the metric.
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: You guys have IMAs that you're going to sign or do you have them in place today?
Michael J. Higgins: Yes. So I won't comment on specific structure on how we deal with the wholesalers. I'll just comment to say that it is a discussion that is focused. That's a level of detail that probably makes -- I'll pass on it for the moment right now in terms of how the exact interactions go with the wholesalers. But it's something that -- Well, it's certainly is something that is considered standard in the industry to do those types of things, but I don't want to comment further on exactly how we're treating it.
Operator: Our next question is from Corey Davis of Jefferies.
Corey B. Davis - Jefferies & Company, Inc., Research Division: Do you have a sense of what percent of those 10 million patients you mentioned, or you can use the 15 million number -- have -- excuse me, true chronic disease versus just getting constipated periodically? Wondering how you think the real world situation compares to the types of patients that you have enrolled in your clinical trials, and obviously, just getting at the big question of how many of these patients are going to be using it more on a PRN basis and what the average days of therapy are going to be.
Thomas A. McCourt: Corey, this is Tom, I'll take the question. With regard to the chronicity of the symptom -- could you hit -- ask the question, again? I'm sorry, I just missed it.
Corey B. Davis - Jefferies & Company, Inc., Research Division: Yes, what percent of the patients, and I'm using the numbers that you used, 10 million, that I think you said were treated and unsatisfied, are true chronically constipated either from constipation or IBS-C versus just getting it on a periodic basis, and hence would be more likely to use it on a PRN basis?
Thomas A. McCourt: Yes, thanks. So when we estimated the 10 million, those were chronic sufferers. And on average, those sufferers suffer over 200 days a year of either chronic constipation or abdominal discomfort. So these are patients that are suffering from chronic recurrent symptoms and are actively seeking care. And on average, they're in the office 3 to 4x a year looking for relief of their symptoms. So we really think that this is a group that there's a huge unmet medical need. They're raising their hands, they're looking for help and treatment just isn't -- it's just isn't meeting their needs. So what we've seen so far in our clinical trials is something very consistent to that in that these patients are baseline, suffering from almost daily symptoms and seeing significant relief. So I think the 10 million is the area that we want to focus on right now as far as those people that are actively engaged in seeking care on a regular basis. I think we also, as I mentioned, see an additional population that will come into the marketplace once physicians and patients realize that there's better relief to be had, and certainly, we can improve their symptoms. So there's no question that there's a very large unmet medical need here. We've only begun to scratch on the potential and the opportunity to really help patients gain relief for their symptoms.
Corey B. Davis - Jefferies & Company, Inc., Research Division: And secondly, I can't recall if you answered this already, but do you have any idea what the rough split is right now between IBS-C chronic constipation [indiscernible]...
Thomas A. McCourt: Yes, it's very, very early right now. I think my impression that we're getting is probably the majority of these patients who tend to suffer the most are people that tend to have both constipation and abdominal symptoms, whether they experience they call it abdominal pain or whether they call it some other symptom that's related. It's really those types of patients that are raising their hand and asking for help and who are really -- seem to be disabled. And I think, that LINZESS can really provide benefits.
Operator: Our next question is from Irina Rivkind of Cantor Fitzgerald.
Irina Rivkind - Cantor Fitzgerald & Co., Research Division: The first one I just wanted to address, partnership milestones. I just want to make sure I understand. So you guys mentioned briefly something about restructuring the agreements with Almirall. And I was just wondering if the $4 million per country milestones still stood. And then, also, if you could comment on Astellas and whether or not prior milestones that were mentioned for that market are intact? And then, the second question is regarding your cash balance. It looks like you guys have money for maybe another couple of quarters, especially if you start spending on additional programs to explore LINZESS. And so I was just wondering what your thoughts are around financing and the nature of the potential financing event?
Michael J. Higgins: Thanks, Irina, let me get -- It's Michael. I'll take those on. The first one is -- you asked the perfect question with regard to Almirall. It is -- so just as a reminder for those folks who may not be as familiar as -- our current structure with Almirall has 20 million in total milestones that are payable as we talked about for a while. We expect those would be paid out over a period of time between 2013 and '14. But you're exactly right in terms of the wording I used, that is one of the items that is up for discussion with Almirall. So I would say in terms of what we're looking at for revenues out of the Almirall relationship in the coming 12 months, I would say those are the revenues that are at risk at this moment on the conversation we're having. We're really thinking about it as actually reinvesting in the business and getting the long-term return. We're being fairly pragmatic about the opportunity in Europe. And we feel giving Almirall the best chance to launch the product is in our best long-term interest. So that's why we're thinking about those milestones. It's the -- kind of the barrier right now is -- in Europe is pretty high, so we want to be able to invest appropriately in the business. So you're absolutely right. Those are the ones that are at risk in the conversations that we're having right now. And it's still -- it's not done yet. We're having a conversation, but since it is -- many folks were building in at those -- the dollars were coming in. We wanted to just clarify that there was a discussion underway. With regard to Astellas, the relationship, the territories that we regained were at no cost to us and all of the milestones, everything, it was built into the original agreement that you're familiar with, it's still intact. So no change there. With regard to cash, I guess, the -- I think, the best way to respond to cash-related questions is that we, as you know, in January, we did an offering of $175 million. At the time, we said we were in a great spot to execute on the launch. We still have $242 million in the bank. And we feel like we're still in that spot. We're still in a position to execute on the launch. And as always, we keep an opportunity, we keep our eyes open, and think about what the business needs are, and we'll kind of access capital as we think is appropriate based upon the business realities. That combines the whole bunch of things, including the revenue growth. But we feel like we're in a good spot. And we'll keep an eye on it. And we'll keep you informed.
Irina Rivkind - Cantor Fitzgerald & Co., Research Division: And if I could just ask a follow-up about the speaker programs that you're initiating. You mentioned 10,000 programs. Have you -- how many of those have occurred so far in the first quarter?
Thomas A. McCourt: This is Tom, I'll take the question. We booked a number of programs. To-date, if I recall, we're into it by about 1,000 programs, with an additional 2,000 programs that have already been booked. I think the one thing that we're seeing, Irina, is there's a great interest and the attendance of the programs have been very, very strong. So certainly, the lead indicators, as far as interest and demand, are very encouraging. And I think we're seeing it playing out in the marketplace.
Operator: Our next question is from Ram Selvaraju of Aegis Capital.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: Just a couple of quick things to help us understand better the revenue trend so far. Can you give us approximately what the value per script is? You said about 70,000 scripts. What's the value per script?
Michael J. Higgins: So you're asking the combined question, which is the -- the numbers we've disclosed externally are on the -- your gross pricing, so per prescription were -- essentially, where the gross price that we're charging is $7.10, so we're in the $200 range on a gross basis. We haven't provided a gross-to-net specific calculation, but I have mentioned that we are in the range of 20% to 25%, that will expect that over time. What's just, as Tom alluded to earlier, we're in the negotiation phase of contracts. We have some of them signed. We're in negotiations on others. So that's a number that we used as a general guidance based upon prior experience and based upon our activity to-date, but it's hard to apply those. But those are the numbers that you use to make that -- broadly make that calculation. It's not a direct connection to the question you're asking, but I think, those are the numbers we have provided previously.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: Okay, and then just clarification regarding the milestones on a per-country basis for the European launch. So what's said is that -- those currently under discussion, they could be revised going forward?
Michael J. Higgins: Correct. The total payment expected over the next year in the -- if there was a launch completed in the next 12 months, it's basically the big 5 in Europe and the way the contract structure that's at $4 million for each of those. So depending on the timing of those launches and how everyone's treated it, those are the ones that we're having discussions about at this point.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: Okay. And then, could you just reiterate your 2013 guidance with respect to R&D and total spending?
Michael J. Higgins: So we have not provided a total spending guidance. We provided a -- 2 elements that we feel are critical for everyone to understand. The first one is total commercial expenditures for LINZESS. So this is not an Ironwood-specific number. It's a combined number that the combined Forestwood and Ironwood teams will execute to. That number is -- totals $250 million to $300 million. And the other one that we provide, because there is -- we feel it's important for investors to be aware that we're investing in the future and that specifically non-linaclotide R&D investments we're estimating in the range of $60 million to $75 million as we have -- as we did last year. So we're in that same zone. Those are the 2 numbers that we've provided.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: Okay, and then finally, can you back out for us the costs associated with these Phase IIIb study that is currently ongoing from which, I believe, you said you expect to report results in the second half of this year and help us to understand how costs, R&D costs directly related to linaclotide, are likely to evolve over the course of the remainder of this year?
Michael J. Higgins: Yes, so that's a level of granularity. We've given kind of the broad numbers and these numbers fluctuate, so we don't think it's useful to give very specific numbers on an ongoing basis that way as we forecast forward. But we've -- you've got most of the elements, so those numbers will change over time. But that level of granularity, we don't typically provide exact cost of clinical studies.
Raghuram Selvaraju - Aegis Capital Corporation, Research Division: Okay, last question. Do you plan to initiate any additional post-marketing studies over the course of the remainder of 2013? And if so, what would those be?
Mark G. Currie: Yes, so Rob, this is Mark. We do intend to initiate some Phase IV studies. We haven't disclosed those with our partner Forest, so at this stage I can't disclose the specifics, but there will be a couple of studies initiated in the 2013 time frame, I should emphasize though these are typically more the size of exploratory studies. These are not large registrational studies at this stage so they are not a very large study that -- I think there may be some misunderstanding on.
Operator: Our next question is from Juan Sanchez of Ladenburg.
Juan F. Sanchez - Ladenburg Thalmann & Co. Inc., Research Division: Couple of questions. The first one is the chronic constipation trial is positive, what kind of label modifications do you think we should expect? Second question is on cost of goods going forward. You could give us some updates on what guidance -- do we model, say, 2, 3 years [ph]? Which level do you think cost of goods for LINZESS might be at? And the third question will be on the level of sampling, whether or not this is -- this level of sampling, this intensity is going to last for a while or that's going to come down at some point slowly.
Mark G. Currie: Thanks for the question, this is Mark Currie. Yes, we, again, expect that study to report out in the second half of this year. The chronic constipation study you alluded to. We haven't disclosed what specific endpoint we would be trying to have added on to the label. That study addresses the number of areas as I think we've -- I've described previously, particularly focused on abdominal symptoms. And so those are some of the area that we expect to further explore and have discussion with the FDA around, but right now, we haven't disclosed specifically what we're trying to accomplish on that study.
Michael J. Higgins: And Juan, it's Michael. It's -- I'll take the cost of goods question. Before I do that, I want to just do a quick public service announcement. We know -- we recognized we've gone over our allotted time, and we're going to be able -- we're going to have to limit to a few more questions, but for those who still have follow-up questions, we'll be available afterwards, so feel free to reach out and let us know. With regard to cost of goods, Juan, over the coming years, we've talked in the past about -- that we're in the high, formal range and we've guided to about 10% cost of goods. And we expect that we can get into the single-digit range as we increase on the -- as the volume increases, we think we'll get some efficiencies over time. And I think, Tom, you're going to take the sampling question.
Thomas A. McCourt: Sure. Thanks, Juan. I think, one of the things that we've learned in these categories that have highly symptomatic diseases, whether it's GERD or whether it's IBS-C chronic constipation, it is seeing -- for the physician and the patient to observe and realize symptomatic relief really drives broader and deeper prescribing. So the fact that we can leverage samples to really initiate trials, observe treatment response to ongoing prescribing and broader prescribing is, obviously, one of the most critical and most powerful resources that we have in our promotional bag. So I think, it's something we will possibly evaluate, but I think, based on previous experience, I see a fairly aggressive sampling program as we move forward so we can continue to initiate therapy on a very, very large population base.
Operator: Our next question is from David Friedman of Morgan Stanley.
David Friedman - Morgan Stanley, Research Division: It's just on the dyspepsia program. I was wondering if you could just talk a little bit about how you have designed the second generation molecule to be different than linaclotide and then what you're going to look for to choose to either bring a novel compound or linaclotide forward in that indication.
Mark G. Currie: David, thanks for the question. This is Mark. So I think we actually have a lot of optionality with our GC-C program, including 9179, the compound currently under study of functional dyspepsia and linaclotide. They're, obviously, the very large patient population that are suffering from functional GI disorders that are very complex. You have patients that have chronic constipation and functional dyspepsia, GERD and functional dyspepsia, GERD with IBS-C and on down the line. So again, trying to dial in the pharmacology and really understand what will give us the best tool to be able to provide the patient with relief, those are the types of things we're focusing on. 9179 has been designed in a way that restricts its activity to the upper GI area, particularly the duodenum and the duodenal to a large extent. It has a metabolic handle on it that allows us to -- that is controlling that activity. And so that's really the difference between the 2 molecules. It's where it works and how long it works. So that's where we are with those 2 programs. So again, we expect both molecules, ultimately in the GI -- in our further guanylate cyclase franchise, to, again, address this very large patient population out there in a number of different areas.
Operator: Our last question is from Greg Wade of Wedbush.
Gregory R. Wade - Wedbush Securities Inc., Research Division: Michael, in the quarter, you guys spent about $93 million in cash, $33 million of that would be associated with the effort around commercialization in LINZESS. Based upon the company's guidance of around $60 million to $70 million in R&D, that would suggest that could be $15 million, $17 million on the R&D side. That leaves an awful lot of cash burn. Can you just help us to understand where that money is going?
Michael J. Higgins: Yes, Greg. So let me just broadly define it. I think in terms of the expense side, I think it's laid out specifically on the P&L that we released with the release this morning, with the press release. I think the additional piece that you should be aware of that is something that we called out -- specifically has to do with inventory and the -- essentially, the non -- or the balance-sheet-related items. So that's in the range of $30 million, as I mentioned earlier. So it's really the expenses of operating the business. Broadly, it's the combination of the investments we've made there plus some of the balance sheet items. So it is -- you're walking down the list. I don't want to a full reconciliation on the call, but the -- it's really the combination of those P&L items with some of those balance sheet items that I just alluded to. Happy to give more clarification, but given the time right now, to do a full reconciliation is a bit challenging real time. But I think you'll see on the P&L, it's really those P&L items and it's the -- specifically those non P&L item, the balance sheet items that I just alluded to.
Gregory R. Wade - Wedbush Securities Inc., Research Division: And let me just squeeze in one for Tom. Tom, looks likes there's a bit of a sawtooth pattern in terms of week-over-week script growth. Is there a corresponding promotional effort that just explains this or is it just something else?
Thomas A. McCourt: Yes, I think -- well, first of all, thanks, Greg. I think what we are seeing is extremely good responsiveness to our promotional messaging with regard to growth. I think there's a lot of things if I look at daily TRxs that are causing it to bounce around. But I think, if you look at the -- the study basically mean growth line. It looks very, very encouraging. So I think part of it's probably TRx reporting. Certainly, there were some dips in the 2 holiday period, which responded very quickly following those periods. But I think, overall, we're on a very, very strong growth trend. And again, our primary focus out of the gate was concentrated on the GI community and the top decile PCPs and that prescribing base we certainly see broaden over time. So I hope that answers your question, Greg.
Operator: I would now like to turn the conference back over to Michael Higgins for closing remarks.
Michael J. Higgins: Well, thanks, again, for all of you for joining us. Sorry, we've gone overtime here a bit. As you heard from the team this morning, we continue to make very significant progress across all aspects of the business. As you heard from Tom, while it's still early, we and Forest are really encouraged by the LINZESS launch and the positive response we're getting from physicians, patients and payers. We continue to explore development opportunities to strengthen the clinical profile of LINZESS and expand the utility, and we really continue to work on our global partnerships in bringing linaclotide to suffering patients around the world. We've made important investments in our broader pipeline as well with both linaclotide and on non-linaclotide programs. And these continued advancements are really and entirely due to the efforts of our team who bring passion, enthusiasm and dedication to the company every day. And we really appreciate your interest in the company and look forward to keeping you informed as we move forward with the company over the coming weeks, months and years. Thanks again for your time. Take care.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day.